Christopher Oltmann: Good afternoon, and welcome to the Second Quarter 2016 Earnings Discussion for PennyMac Mortgage Investment Trust. The slides that accompany this discussion are available from the PennyMac Mortgage Investment Trust website at www.pennymac-reit.com. 
 Before we begin, please take a few moments to read the disclaimer on Slide 2 of the presentation. Thank you. Now I’d like to turn the discussion over to Stan Kurland, PMT’s Chairman and Chief Executive Officer. 
Stanford Kurland: Thank you, Chris. For the second quarter, PMT reported a net loss of $5.3 million or $0.08 per diluted share, representing an annualized return on equity of negative 1%. PMT paid a dividend of $0.47 per share for the quarter, and book value per share decreased to $20.09 at quarter end. 
 PMT's loss for the second quarter is disappointing, and our financial performance did not meet expectations. In particular, our distressed loan investments underperformed, largely as a result of longer timelines and higher expenses for nonperforming loan liquidations, in addition to home prices that were lower than previously forecast. 
 PMT reports results through 2 segments: Investment Activities and Correspondent Production.
 The Investment Activities segment reported a pretax loss of $24.6 million in the second quarter. Segment results were impacted by the valuation losses on our distressed loan investments, which underperformed our expectations by approximately $30 million. This quarter's results also include valuation losses on mortgage servicing rights and excess servicing spread investments, net of offsets from hedging activities, recapture income and valuation gains on mortgage-backed securities. The valuation losses on MSRs and ESS resulted from higher actual and expected future prepayment activity, resulting from interest rate declines at the end of the quarter and expectations for future mortgage rates lower than previously forecast.
 In addition, the quarter included $5.1 million in servicing activity fees related to the sale of performing loans from the distressed loan portfolio, partially offset by income from CRT investments totaling $7.1 million.
 The Correspondent Production segment reported pretax income of $16.4 million for the quarter.
 In the second quarter, PMT made new investments in GSE credit risk transfer that totaled $126 million on $3.2 billion in unpaid principal balance of PMT's conventional conforming production. At June 30, our current CRT commitment with Fannie Mae, totaling $7.5 billion in UPB, had approximately $3 billion remaining. And we are in discussions with Fannie Mae on a fourth CRT transaction for our production. PMT also invested $60 million in new mortgage servicing rights during the second quarter, resulting from our correspondent production activities.
 In the quarter, we repurchased 1.2 million PMT common shares at a cost of $18.1 million. Since the program's inception last year, PMT has repurchased 7.5 million shares with $100 million of authorized repurchases remaining under the plan.
 Cash flows from PMT's existing investment portfolio remain strong, with liquidations and pay downs of distressed mortgage loans and REO totaling $114 million during the quarter.
 We remained focused on the timely resolution of our nonperforming loans in order to expedite the transition out of these investments, while maximizing returns. We believe that PMT's mortgage-related strategies, which include distressed loan investments, correspondent production, MSRs, and GSE credit risk transfer, have the potential to produce earnings in line with our current dividend level.
 Now let's turn to Slide 4, and discuss our current perspectives on the mortgage market.
 During the second quarter, uncertainty in global financial markets led investors into the relative safety of U.S. Treasuries, sending interest rates lower. In particular, the United Kingdom's decision to leave the European Union near the end of the quarter caused a decline in interest rates. And market expectations for interest rates continue to be lower for longer.
 Volumes in the mortgage origination market have increased in reaction to lower rates. Analysis suggests that more than half of all fixed-rate mortgages currently outstanding, representing nearly $3 trillion in unpaid principal balance, are in the money to refinance, meaning these borrowers could lower their mortgage rate a half of a percentage point or more by refinancing. However, industry capacity constraints are moderating the growth in mortgage volumes and should contribute to a prolonged period of elevated origination volumes and margins for the mortgage industry. While interest rates have fallen, mortgage spreads have widened, suggesting that when interest rates eventually do rise, consumer mortgage rates should not rise as much.
 While the U.S. macroeconomic backdrop is mixed, housing fundamentals appear to remain solid. Despite persistently low inventory across many parts of the country, existing and new home sales continue to increase steadily. Lower interest rates have aided home affordability. And with rates forecasted to remain low, we believe that the strength in home purchase demand will likely continue.
 Now let's turn to Slide 5, and look specifically, at the forecast for the U.S. mortgage origination market.
 On Slide 5, I would like to highlight the transition and the mix of our investment strategies, and the shift in PMT's portfolio over the last 2 years. PMT invests in mortgage-related strategies that leverage the unique operational capabilities of its manager and service provider, PennyMac Financial. PMT's equity allocation has shifted over time, as capital has been deployed into different strategies, due to changes in market opportunities and the risk-adjusted returns available to PMT.
 As the chart indicates, over the last 2 years, our capital deployment has favored MSRs and more recently GSE credit risk transfer transactions related to our Correspondent Production.
 Today, half of PMT's equity remains allocated to distressed loan investments. However, we expect the allocation of equity to shift over time, as we redeploy capital into these new strategies.
 Now let's turn to Slide 6 and discuss our progress in transitioning capital out of PMT's distressed loan investments through liquidations and sales.
 The UPB of PMT's portfolio of nonperforming loans has decreased 38% from the same period a year ago, representing an average reduction of approximately $200 million per quarter. And underscores the progress we have made in the resolution of the nonperforming portfolio.
 One of the primary drivers of resolving our distressed loans is re-performance through modifications. Since last year, we have heightened our focus on using modification programs and have generated an average of approximately $90 million in UPB of newly re-performing loans per quarter. Re-performing loans can ultimately be sold into a well-established market for these assets after at least 6 months of performance history has been achieved. PMT's portfolio of performing loans increases as nonperforming mortgages transition to performing status, and decreases with loan sales, refinances into new loans or recidivism back to nonperforming status.
 The bulk sale of a loan pool totaling $419 million in UPB during the second quarter is a recent example of a successful loan sale that reduces our portfolio of performing mortgage loans.
 We remain focused on pursuing strategies to expedite the resolution of the nonperforming portfolio and transition of PMT's capital over time into other unique opportunities, including GSE credit risk transfer from our Correspondent Production activities.
 Now let's turn to Slide 7 and discuss PMT's share repurchase program.
 In the second quarter, we repurchased 1.2 million of PMT's common shares at a cost of $18.1 million. And since inception of the program last August, we have repurchased 7.5 million shares at a total cost of $100 million.
 The estimated book value of the shares repurchased during the second quarter was $23.2 million for an effective purchase price discount to book value of 22%.
 As a result of our share repurchase activity, PMT's outstanding share count has decreased from approximately 75 million shares at the inception of the program, to just under 68 million shares as of July 5. We continue to evaluate repurchases using available capital versus the return on alternative investment opportunities.
 Now let's turn to Slide 8 and discuss the second quarter's results by strategy.
 For the second quarter, PMT's investments generated an annualized return on equity of negative 1%, net of expenses and overhead. Distressed loan investments contributed an annualized return of negative 12.3% in the second quarter, compared to positive 6.7% in the prior quarter. 
 As I mentioned, previously, distressed mortgage loan investments underperformed our expectations by $30 million, as a result of our several factors, the majority of which were related to the extension of expected resolution timelines beyond those previously forecast for the nonperforming portfolio, particularly on loans with underlying properties located in the Northeast. Time line extensions move the estimated cash realization on the loans further into the future, while PMT incurs additional expenses to maintain its liens on the properties.
 Furthermore, the performance of the distressed loan portfolio was also impacted by lower-than-expected home prices for certain loans in the portfolio, as well as a reduction in the forecast for future home price appreciation in certain geographies.
 Returns on the credit risk transfer investment benefited from market-driven value changes due to credit spread tightening, in addition to ongoing income related to the investment. Other credit-sensitive strategies include non-agency subordinate bonds and commercial real estate loans, which as a whole, also benefited from credit spread tightening. In total, credit-sensitive strategies contributed a negative 6.3% pretax annualized return on equity and a $13.8 million pretax loss in the second quarter.
 Interest rate-sensitive strategies, which include the performance of our MSRs, ESS and agency and non-agency MBS positions and the related hedges together generated a 0.6% pretax annualized return on equity and $0.5 million of pretax income in the second quarter. While we show the income contribution for each of these interest rate-sensitive strategies separately, they are managed in aggregate as the interest rate sensitivity of MSRs and ESS are inversely correlated to the MBS positions.
 Valuation losses on the MSR and ESS assets, net of offsetting gains on hedges and MBS, resulted from higher actual and expected future prepayment activity, due to interest rate declines at the end of the quarter in addition to expectations for future mortgage rates lower than previously forecast. A widening in mortgage spreads contributed to the net valuation loss, as losses on the MSR and ESS assets were greater than offsetting gains on PMT hedges, which include interest rate swaps and other non-mortgage specific instruments.
 Furthermore, our hedging approach does not attempt to fully offset the impact of an interest rate decline, as we expect to benefit from increased recapture income and correspondent production-related earnings in subsequent periods.
 Returns on Correspondent Production improved to a 63% pretax annualized return on equity, as a result of increased locks and production volumes, reflecting the larger mortgage origination market, driven by lower mortgage rates and market share gains during the quarter.
 Now let's turn to Slide 9, and discuss the run rate income potential for PMT's strategies.
 We believe that PMT's mortgage-related strategies, taken as a whole, have the potential to produce earnings in line with our current dividend level.
 Within credit-sensitive strategies, we expect distressed whole loans and CRT will remain our 2 largest investments, with distressed whole loans decreasing over time and CRT investments increasing. The run rate income assumes typical resolution activities for distressed loans, though we may accelerate disposition by conducting bulk sale of re-performing loans, when we have aggregated a sufficiently large population, and if we believe market conditions are favorable.
 Within interest rate-sensitive strategies, we expect to maintain a diversified portfolio of the assets that provide natural hedges. MSRs are the single largest investment in this strategy and will continue to grow in connection with our Correspondent Production.
 Correspondent Production should continue to generate significant income, as expectations for continued low interest rates support strong production volumes and healthy margins throughout the industry.
 In our evaluation of the earnings potential for PMT and determining the appropriate dividend for PMT, we consider the income required to be distributed for the year in order to maintain our tax-advantaged status as a REIT. Specifically, for the first half of 2016, our completed bulk sale of performing loans and modification activity generated considerable taxable income in excess of our book income.
 Now I'd like to turn it over to David Spector, PMT's, President and Chief Operating Officer. 
David Spector: Thank you, Stan. Let's turn to Slide 11 and discuss the resolution activity on PMT's distressed whole loan investments. Here we show the 5 quarter trend for distressed loan resolutions, which includes liquidation and modification activities and totaled $244 million in UPB during the second quarter of 2016.
 Modifications totaled $94 million in UPB during the quarter and comprised 38% of total resolution activity, compared to 27% a year ago. Our focus on driving resolutions through modifications results in positive outcomes for both the homeowner and PMT, allowing the homeowner to remain in their home with improved mortgage terms and helping to expedite PMT's transition out of distressed loan investments. 
 At June 30, trial modifications totaled $182 million in UPB, up 65% from the prior quarter. Since the beginning of the year, we have placed increased emphasis on utilizing streamlined modification programs, offered through the Home Affordable Modification Program, commonly referred to as HAMP, in addition to proprietary modification programs to help more borrowers qualify for a modification. Streamlined modification programs are beneficial, because they eliminate income documentation requirements and move borrowers directly into a trial modification after their first payment is made.
 Liquidation activities totaled $151 million in UPB, an increase from $127 million in the first quarter, and comprised 62% of total resolutions. Liquidation activities include payoffs, foreclosure sales to third parties, short sales and sales of REO properties to third parties.
 In the second quarter, REO sales increased to $110 million, up from $101 million in the prior quarter, and comprised 45% of total resolution activity. These sales resulted in a net reduction to the REO inventory of $20 million. PMT also retained $8 million in additional properties for the rental program, increasing the REO rental portfolio to $21 million at June 30, up from $13 million at March 31.
 The increase in REO sales, short sales and foreclosure sales reflects the strong demand for homes.
 Now let's turn to Slide 12 and discuss the operational results for Correspondent Production.
 Correspondent Production totaled $14.6 billion in UPB for the second quarter, a 51% increase from the first quarter. While conventional loan acquisitions were $5.2 billion in UPB, an increase of 59% from the prior quarter.
 On a year-over-year basis, our Correspondent Production volumes increased 23% in the second quarter. The large increase in production volume reflects a larger mortgage origination market, driven by lower mortgage rates during the quarter, as well as market share gains by PMT. Our increased loan fulfillment capacity, aided by PennyMac Financial's centralized mortgage fulfillment division, enabled our ability to scale production to capture the market opportunity and become the second largest aggregator after Wells Fargo.
 Correspondent lock volume was $16 billion in UPB, a 54% increase from the first quarter. Conventional locks were $6.0 billion in UPB, also a 54% increase from the first quarter.
 In July, total correspondent loan acquisitions were $5 billion in UPB, while interest rate lock commitments were $6.5 billion in UPB.
 During the quarter, we continued to grow our correspondent seller relationships. At the end of the second quarter, we reached 457 correspondent seller relationships, up from 437 at the end of the prior quarter and up from 377 a year ago. Additionally, purchased money loans accounted for 71% of our correspondent production and reflects our purchased money oriented franchise, and the strong demand for home purchases.
 During the quarter, we also launched our non-delegated correspondent program, where our manager and service provider, PennyMac Financial, provides underwriting services to small lenders and community banks. We are also pursuing new initiatives to grow seller relationships with credit unions and smaller banks, who can benefit from our mortgage expertise and interest rate risk management capabilities. Looking forward into next year, we anticipate a wholesale channel launch in mid-2017.
 Let's now turn to Slide 13, and discuss the continued development of our investments in GSE credit risk transfer related to our Correspondent Production.
 During the second quarter, PMT invested $126 million in credit risk transfer, backed by $3.2 billion in UPB of PMT's conventional conforming production. Approximately 71% of PMT's conventional conforming production is currently being delivered into CRT transactions. At June 30, PMT's investments in CRT reached $339 million, with an equity investment of $133 million net of leverage.
 The total income contribution from CRT in the second quarter was $7.1 million, which included fair value gains of $3.9 million. For the quarter, the return on equity was 23.6%. Excluding market driven value changes, the return on equity was 10.4%. The leverage on our investment is less efficient during the aggregation phase of a CRT transaction. And we expect that returns on our CRT investments, excluding market driven changes, should improve as we achieve optimal leverage.
 Performance of the underlying collateral in our CRT transactions remained strong. As it pertains to the credit performance of the CRT investments, 60-day-or-greater delinquencies as of July 30 were 20 loans in total or less than 6 basis points of outstanding UPB. And there have been no credit losses to date on any of our CRT investments. We have included additional performance and credit metrics in the appendix on Page 31.
 We continue to see significant potential for deploying additional capital into this strategy. At June 30, our current CRT commitment with Fannie Mae, totaling $7.5 billion, had approximately $3 billion in UPB remaining. And we are in discussions with Fannie Mae on a fourth CRT transaction for our production.
 Now let's turn to Slide 14 and discuss our investments in MSR and ESS.
 PMT's investments in MSRs and ESS is $766 million, down from $777 million at March 31, with the related loans underlying the investments totaling $83.2 billion in UPB at June 30.
 Investments in MSRs, which result from PMT's Correspondent Production activities, totaled $471 million, up from $455 million at March 31, reflecting strong Correspondent Production volumes that resulted in MSR investment growth, despite the decline in interest rates, which adversely impacted the MSR asset value.
 As of quarter end, our investment in ESS totaled $295 million, down from $322 million at March 31, driven primarily by prepayments during the quarter and higher expectations of future prepayments.
 Now I'd like to turn the discussion over to Anne McCallion, PMT's Chief Financial Officer, to review the second quarter's financial results. Anne? 
Anne McCallion: Thank you, David. On Slide 16, we show the pretax earnings contributions from each of PMT's segments over the last 5 quarters. In the second quarter of 2016, PMT's pretax loss totaled $8.2 million, comprised of a $24.6 million pretax loss from Investment Activities and $16.4 million of pretax income from Correspondent Production.
 Now let's turn to Slide 17, and look at the results of the Investment Activities segment.
 The Investment Activities segment income is derived from the performance of PMT's investment portfolio. In the second quarter, investment segment revenues totaled $9.4 million, a decrease of 64% from the first quarter. The quarter-over-quarter decrease in revenues was driven primarily by a higher net loss on investments and a decrease in net interest income, partially offset by a decrease in other losses.
 Our investments generated a net loss of $15.5 million in the second quarter, compared to a loss of $3.9 million in the prior quarter. Net loss on investments for the second quarter included valuation losses on distressed mortgage loans of $13.5 million, which I will discuss in further detail on Slide 19; $15.8 million of losses related to excess servicing spread, net of recapture income; and a $21,000 loss on mortgage loans held by a variable interest entity, net of valuation changes on the related asset-backed secured financing. These losses were partially offset by gains on mortgage-backed securities of $6.1 million and income from CRT investments totaling $7.8 million.
 Our interest rate-sensitive strategies include several types of investments, some of which have offsetting exposures that help PMT manage interest rate risk. These investments include agency and non-agency MBS, MSRs and excess servicing spread.
 Lower interest rates in the second quarter drove a fair value gain totaling $6 million in the agency and non-agency MBS portfolios. Lower rates during the quarter drove higher expectations for future prepayment activity, resulting in a valuation loss on ESS totaling $15.8 million, net of recapture income totaling $1.6 million.
 Net loan servicing fees derived from PMT's investments in MSRs were $15.7 million in the second quarter, up slightly from $15.6 million in the first quarter. Net loan servicing fees included $31.6 million in servicing fees and $311,000 of MSR recapture income, reduced by $15.5 million of amortization and realization of MSR cash flows. Net loan servicing fees also included $23.2 million of impairment provisioning and $4.9 million of fair value losses related to MSRs, offset by $27.4 million of related hedging gains. PMT's hedging activities are intended to manage its net exposure across all interest rate-sensitive strategies, which also include ESS and MBS.
 Net interest income decreased 47% quarter-over-quarter, which I will discuss in greater detail on the following slide.
 Other investment losses were $520,000, compared to losses of $3.7 million in the first quarter, driven by less reduction in the value of PMT's REO properties.
 Segment expenses were $34 million in the second quarter, up from $26.3 million in the first quarter, primarily driven by $5.1 million in servicing activity fees related to the sale of performing loans from the distressed portfolio.
 On Slide 18, we show the components of interest income for the Investment Activities. PMT's net interest income decreased 47% quarter-over-quarter and 15% year-over-year due in part to the sale of performing loans and excess servicing spread. Interest income earned on PMT's interest rate-sensitive strategies of ESS, MBS and mortgage loans held by a variable interest entity totaled $13.4 million, a 12% decrease from the first quarter, resulting from the sale of ESS related to Fannie Mae and Freddie Mac MSRs in the first quarter. Interest income from PMT's distressed mortgage loans totaled $23 million, down from $29.2 million in the first quarter, driven by a 30% quarter-over-quarter decline in capitalized interest from modifications. Interest income from distressed mortgage loans included $16.4 million of capitalized interest from loan modifications, which increased interest income and reduced loan valuation gains.
 Now let's turn to Slide 19, and discuss the gains and cash flows related to PMT's distressed loan portfolio.
 PMT's distressed mortgage loan portfolio generated realized and unrealized losses on mortgage loans totaling $13.5 million in the second quarter, versus gains of $14.4 million in the previous quarter.
 Valuation losses on distressed loans totaled $14.3 million in the second quarter, compared to valuation gains of $12.9 million in the first quarter.
 The income contribution from the distressed loan portfolio underperformed PMT's expectations by approximately $30 million for the quarter for the reasons that Stan discussed in his section.
 Payoff gains on distressed loans totaled $1.2 million, compared to $1.5 million in the prior quarter.
 Liquidation and paydown activity on distressed loans continued to generate significant positive cash flows. For the second quarter, gross cash proceeds from the liquidation of mortgage loans and REO, before debt repayment and payment of related expenses, totaled $114 million, up from $96.5 million in the first quarter. As with all of our gross cash proceeds, we must repay the debt and related expenses.
 Gross cash proceeds received from the bulk sale of performing loans from the distressed portfolio totaled $344.3 million and resulted in approximately $100 million in net cash proceeds. With respect to the distressed loans and REO liquidated during the quarter, $64.3 million in valuation gains have been recognized over the holding period of the assets and another $5.5 million of gains were realized at liquidation.
 Now, let's turn to Slide 20 and discuss the value of PMT's mortgage servicing rights and excess servicing spread assets.
 PMT's mortgage servicing rights portfolio, which is sub-serviced by PennyMac Financial, grew to $47.1 billion in UPB, up from $44.2 billion at the end of the first quarter.
 PMT also owns investments in ESS totaling $294.6 million, with the UPB related to the underlying loans totaling $36.4 billion.
 MSRs and ESS are a significant portion of PMT's long-term investments. And their fair value generally increases in a rising interest rate environment and decreases when rates fall. In the second quarter, the fair value of the ESS investment decreased as a result of higher current and expected future prepayment activity, due to the decline in interest rates and expectations for future mortgage rates lower than previously forecast.
 ESS valuation changes also included recapture income from PennyMac Financial totaling $1.6 million.
 The chart on Slide 20 shows some of the key metrics of PMT's MSR and ESS portfolio and highlights the difference between the carrying value of PMT's MSRs and their estimated fair value. At the end of the quarter, the fair value of PMT's MSR asset was $3.6 million greater than its carrying value. For the excess servicing spread column, the UPB, weighted average coupon, and expected prepayment speed represent the characteristics of the underlying MSR portfolio owned by PennyMac Financial, while the weighted average servicing spread, fair value and valuation multiple relate to the ESS asset owned by PMT.
 Let's now turn to Slide 21, and discuss the income statement and balance sheet treatment for the credit risk transfer transactions.
 Our investments in credit risk transfer, or CRT, are evidenced by M1 bonds, which we own and pledge as collateral in financing transactions. However, for accounting purposes, our investments in CRT are depicted as the components of the M1 bonds, restricted cash and a net derivative consisting of the expected future cash inflows related to our assumption of the credit risk, and expected future losses of the credit guarantee.
 This slide illustrates how the CRT transactions are carried on the balance sheet and flow through the income statement. From inception of the CRT investment program last year through June 30, 2016, a total of $9.6 billion in UPB of residential mortgage loans has been delivered to the CRT special purpose vehicles, and in turn sold to Fannie Mae. We have deposited cash into the SPVs, and it is recorded as a separate line item on our balance sheet. The restricted cash balance, combined with the net value of expected future cash inflows related to our assumption of credit risk and expected future losses, represent PMT's investment in credit risk on the delivered loans and largely comprise the M1 bonds.
 Realized gains and losses recognized on the CRT investment represent cash income or loss to PMT from the SPVs. Gains and losses resulting from valuation changes represent mark-to-market valuations, which in the second quarter were gains resulting from credit spread tightening. Any payments made to Fannie Mae to settle our contractual losses would be made from restricted cash. And our losses are limited to the amount of restricted cash in the SPVs. To date, PMT's CRT investments have not experienced any losses.
 The bottom table provides information related to the current balance of our CRT investments. The current UPB of the underlying loans totaled $9 billion at June 30. The delinquency summary is divided into 2 categories. The UPB of loans that as of June 30, are current to 89 days delinquent, and the UPB of loans that are 90 days or more delinquent. More detail on the performance of the loans underlying the CRT investment is presented on Page 31 of today's presentation.
 Finally, restricted cash included in deposits securing credit risk transfer agreements on the balance sheet was $388.8 million at June 30. And the net derivative position was a liability of $199,000 at quarter end.
 Moving to Slide 22, Correspondent Production segment revenues totaled $38.2 million in the second quarter, compared to $25.8 million in the prior quarter.
 Net gains on mortgage loans acquired for sale totaled $24.2 million, a 61% increase from the first quarter, driven by higher volumes and margins on the acquisition and sale of conventional conforming and jumbo loans. And also reflected limited industry capacity related to the strong demand for new mortgage loans.
 Net interest income for the segment increased to $5.5 million from $3.9 million in the first quarter, resulting from higher loan volumes during the quarter that was partially offset by a flatter yield curve. Other income, which is primarily comprised of loan origination fees, was $8.5 million, a 25% increase from the prior quarter.
 Expenses in the Correspondent Production segment increased 46% due to a volume driven increase in fulfillment fee expense, partially offset by a decline in the weighted average loan fulfillment fee. The weighted average fulfillment fee rate in the second quarter was 37 basis points, down from 40 basis points in the prior quarter.
 And with that, I'll turn the discussion back over to Stan for some closing remarks. 
Stanford Kurland: Thank you, Anne. PMT is uniquely positioned to access investment opportunities that result from our Correspondent Production activities, including MSRs and GSE credit risk transfer, which are made possible through PFSI's specialized capabilities as our manager and service provider, in addition to investments in small balance multifamily loans. These capabilities allow us to generate attractive investments on a repeatable basis over time.
 In closing, I would like to emphasize that we remain focused on the timely resolution of our nonperforming loans. And we continue to evaluate using available capital to repurchase our common shares where the return is superior to alternative investment opportunities.
 Lastly, we encourage investors with any questions to reach out to our Investor Relations team by e-mail or phone. Thank you. 
Christopher Oltmann: This concludes the PennyMac Mortgage Investment Trust second quarter earnings discussion. For any questions, please visit our website at www.pennymac-reit.com, or call our Investor Relations Department at (818) 224-7028. Thank you.